Operator: Hello, and welcome to WWE's Fourth Quarter Earnings Call. . Today's conference is being recorded.  I would now like to turn the call over to Seth Zaslow, Senior Vice President, Investor Relations. Please go ahead, Seth.
Seth Zaslow: Thank you. Good afternoon, everyone. Welcome to WWE's Fourth Quarter 2021 Earnings Conference Call. Leading today's discussion are Vince McMahon, WWE's Chairman and CEO; and Nick Khan, WWE's President and Chief Revenue Officer; Stephanie McMahon, WWE's Chief Brand Officer; and Frank Riddick, WWE's Chief Financial and Administrative Officer. Their remarks will be followed by a Q&A session. We issued our fourth quarter earnings release earlier this afternoon and have posted the release, our earnings presentation and other supporting materials on our website. Today's discussion will include forward-looking statements. These statements reflect our current views are based on various assumptions and are subject to risks and uncertainties disclosed in our SEC filings. Actual results may differ materially, and undue reliance should not be placed on them. Additionally, the matters we will be discussing today may include non-GAAP financial measures. Reconciliations of non-GAAP to GAAP information are set forth in our earnings release and presentation, which are available on our website. Finally, as a reminder, today's conference call is being recorded, and the replay will be available on our website later today. At this time, it is my privilege to turn the call over to Vince.
Vincent McMahon: Welcome, everyone. As you know, we generated a considerable increase in profit and revenue with revenue over $1 billion, which is somewhat remark for us. During the course of the year, we reimagined our business and reimagining our business is something, by the way, we do just about every month, if not every week around here. We're very, very flexible. Nick and Steph are going to be talking about many of the key achievements that we've made, and that we obviously remain focused on our upcoming year of 2022 as well as years to come with working toward record revenue again as well as adjusted OIBDA and what have you. So our performance, we think, pretty much speaks for itself and it speaks for the longevity we've had for so many years, the opportunities that are there for us to grow exponentially. So Nick, take it away.
Nick Khan: Thanks very much, Vince, and thanks, everyone, for calling in. Before we jump into a bit of the future outlook for our business and what we make of the recent moves in the marketplace, we'd like to discuss some of the moves WWE has made over the last few months. Almost a year ago, on our prior earnings call, we shared the news of our deal to license WWE Network and its premium live events and library in the U.S. to NBCU and Peacock. Some results to share with you from that deal regarding viewership. All of the 2021 Peacock numbers I'm going to mention here are compared to the pre-pandemic 2019 numbers on what was our standalone service WWE Network. For our July 2021 premium live event Money in the Bank, with a return of live events, viewership on Peacock was 25% higher than Money in the Bank on WWE Network in 2019. For our August 2021 premium live event, SummerSlam viewership on Peacock was over 30% higher than SummerSlam in 2019. For our 2021 events in September, Extreme Rules viewership on Peacock was 20% higher than Extreme Rules in 2019. In October 2021, we hosted our first international premium live event of the year from Riyadh, where we saw viewership on Peacock up 75% over our 2019 event there. And lastly, for our November 2021 Premium Live Event Survivor Series, viewership on Peacock was almost 25% higher than Survivor Series in 2019. In terms of subs, over 3.5 million fully paid Peacock subscribers have watched WWE content since we moved our product over last March. As you recall, WWE Network had 1.1 million subscribers in the U.S. when we closed the Peacock deal, and expanded audience and viewership, led by a strong in-ring product and the right partner and platform has created wins for all parties. More people are watching WWE Premium Live Events than ever before. Our deal with Peacock also marked a strategic pivot for our company to fully focus on our wholly owned intellectual property and a completely unique content that Vince and WWE have created for the past 35-plus years. It's evident that the marketplace puts considerable value on our IP, which has allowed us to drive more value for existing partnerships and enter into a number of new categories. We currently have over a dozen scripted and unscripted projects sold based on our IP. Look for an announcement on each and every one of those in the not-too-distant future. Those are with existing content partners in the U.S. in addition to new buyers, networks and streamers. This past quarter, we also executed and announced a number of new deals that drew further value from our IP. We moved to a new trading card partner, Panini and saw a major increase in that deal. Following the success of our first NFT launch with the Undertaker, we struck a deal with Fox's Blockchain Creative Labs to launch an NFT marketplace. Initial has come in for the first few drops. It's a mix of new and legendary superstars and will excite fans across generations. Look for an announcement on the launch date for that marketplace soon. We also announced our first deal in the lottery space with IGT, one of the preeminent gaming companies. Look for WWE branded lottery tickets to start rolling out in a number of states later this year. Additionally, we extended our global deal with Mattel. That partnership is driven by WWE action figures and action figure accessories. This deal with Mattel goes back over a decade. Mattel's distribution channels and the reach WWE has results in our action figures in stores and on shelves in over 50 global markets. This new deal has driven a substantial increase from the toy sector and the extension will result in even more growth. This is a further recognition of the value of our IP. As we closed our book of business in 2021, we quickly got back to work as our 2022 kicked off with our new Premium Live Event day 1 in prime time on New Year's Day from Atlanta. We added this new event to our schedule in place of our typical mid-December Premium Live Event with the belief that a holiday date would attract more viewers and drive ticket sales and merchandise revenue at State Farm Arena in Atlanta, a traction for both holiday travelers and locals. This belief proved to be correct. Not only was day 1 sold out, it was also one of our highest viewed Premium Live Events on Peacock ever with viewership 60% greater than any December Premium Live Event in WWE history. Last week, we kicked off our road to WrestleMania with Royal Rumble from the Dome at Americas Center in St. Louis. With more than 44,000 in attendance, the event produced the strongest merchandise sales and the second largest gate in Royal Rumble history.  On Peacock, viewership was almost 45% higher than the pre-pandemic Royal Rumble in 2020. Our creative team put on an incredible show where we saw Ronda Rousey and Bad Bunny surprise returns as well as Johnny Knoxville's in-ring debut. What's notable here is that neither Bad or Johnny Knoxville, we're looking to check off an item from their bucket list during a slow time of the year. Quite the opposite, both men are on the brink of major career moments with Bad Bunny sold out World Tour that crossed Ticketmaster that they went on sale, which also just expanded to a series of stadium shows a few weeks ago and the premier of Johnny Knoxville's film Jackass Forever. Pop culture sensations and massive artists look to partner with WWE as a way to drive their businesses. Next up for our Premium Live Events is our first major international event this year in Jeddah on Saturday, February 19. A Saturday largely clear of event programming, now that college football has come to an end. As many of you know, these large-scale international live events are key revenue drivers for our company and demonstrate WWE's global appeal. We couldn't be more pleased to get back to staging big shows internationally. Look for more on that as well in the not-too-distant future. Some further international news. Last week, it was announced that Disney+ Hotstar is the new home of WWE Network in Indonesia. This distribution deal follows the licensing model we use for WWE Network in the U.S., partnering with a leading streamer that has a large presence in the territory. Moreover, this deal deepens our relationship with Disney as does our multi-episode series order Ronda’s Places with executive producer Peyton Manning, which premiered on ESPN+ last week. This is Ronda Rousey's version of Peyton's Places in the combat sports space with WWE's executive producers. As you know, Disney is already one of our partners with our Hulu deal. Look for more in the international media rights space in the not-too-distant future as well. On the topic of gaming. Last month, we announced that WWE legend, Rey Mysterio, will be to cover superstar for our new video game at WWE 2K22 that will be released on March 11. Stephanie McMahon will further discuss gaming in a moment. Before that, we wanted to share our point of view on further consolidation in the gaming sector.  First, like many of you, we are not surprised by this continued consolidation. Microsoft is making its biggest acquisition in its 46-year history with its purchase of Activision Blizzard. Take-Two, one of our gaming partners, made its biggest acquisition in its 28-year history with its purchase of Zynga. Sony made moves to bolster its gaming division with its acquisition of Bungie. As Sony made it clear on their earnings call yesterday, we expect these companies to monetize the value of their newly acquired titles via scripted and unscripted content. The sector should end up with 4 or maybe 5 players emerging, and the winners will largely be dependent on their IP.  As we've seen from Warner Discovery, Amazon MGM and Univision Televisa, all of these are driven by content and distribution. This isn't just the major conglomerates.  and the New York Times have both made moves in recent months to scale their businesses through strategic acquisitions. We are even seeing theme park consolidation with the SeaWorld play on Cedar Fair. All said, we believe this consolidation trend will continue in 2022. We're all keeping our eyes on DISH and DIRECTV, Nexstar, EA and Lionsgate as they look to possibly enter into meaningful M&A conversations. Again, all content or platform plays. Finally, we want to touch on the latest movement in the sports right space. We've discussed in the past how one of the biggest acquisition drivers for streamers is live rights. It's why Amazon, Peacock, Paramount Plus and ESPN+ and Hulu has spent billions over the past year to bring top-tier rights to their services. ESPN alone closed 7 major deals over the course of 10 months. Amazon, as we all know, recently spent over $10 billion to be in business with the NFL, and that deal is starting a season early. NBCU's $2.7 billion extension of the EPL was largely a Peacock play with most of the inventory slotted for the streamer. ViacomCBS in its first year has recognized the value of live rights, shifting its UEFA Champions League programming to Paramount+ on a near exclusive basis and picking up rights for Serie A and the Europa League. We discussed Apple three quarters ago. It's just a matter of time for Apple. We all saw Netflix's Freaky Friday a few weeks ago. It's just a matter of time for Netflix. All of these aforementioned companies are more incentivized now to license content at increased prices from content originators. In sum, with our company focus on extracting value from our IP across all lines of business, matched with a marketplace that is hungry to partner with and build around premium brands, we couldn't be more optimistic to drive further growth in 2022 and beyond. And with that, I'd like to turn the call over to my colleague and friend, Stephanie McMahon.
Stephanie McMahon : Thanks, Nick, and good evening to everyone on the call. Nick concluded his remarks by speaking about the value of WWE IP. In addition to the new deals being executed for global media rights and consumer products, WWE Superstars are in high demand from the biggest sports properties, studios and media outlets. Earlier this month, Sasha Banks starred in the cold open for ESPN's College Football National Championship. That games on an average audience of over 22.6 million viewers. In November, Drew MacIntyre presented at the MTV EMAs, the Europe Music Awards, hitting international markets across Europe, LatAm and North America. And in October, Big E started in the cold open of what has been called the greatest heavyweight title fight in decades, Tyson Fury versus Deontay Wilder that aired on ESPN and FOX Sports pay-per-view. Paramount Studios used WWE to promote their release Jackass Forever starring Johnny Knoxville. Knoxville's involvement began on SmackDown December 10 and culminated with Knoxville wrestling in the Royal Rumble match. Knoxville spoke about the Royal Rumble and beating that Low Down and Dirty Sami Zayn on Jimmy Kimmel Live, The Late Late Show with James Gordon and posted WWE-related content across social media, garnering over 12 million video views.  The Royal Rumble Premium Live Event took place at the Dome at America Center in St. Louis, with surprise appearances from Grammy Award-winning artist, and I would say part-time WWE Superstar, Bad Bunny as well as the baddest woman on the planet Ronda Rousey who won the women's Rumble match and is headed to WrestleMania. As Nick mentioned, Royal Rumble 2022 saw a 45% increase in viewership versus 2020, the last time we had an event with fans and was the most socially engaging program across all platforms. The day of the Royal Rumble Premium Live Event also marks the highest usage of the Peacock platform to date. Additionally, we launched a new sponsorship with DoorDash, who co-presented with 2K, one of our biggest gaming partners. For 2 weeks prior to the event on Raw, SmackDown and NXT and during the Royal Rumble Premium Live event itself, we aired the WWE 2K22 trailer and announced the preorder for our franchise simulation game, WWE 2K22, which will officially launch on March 11. While it is still very early in the process, according to our partners, thus far, all indications are very positive. Additionally, we saw a 14% increase in the performance of our mobile games year-over-year with games like 2K's WWE SuperCard, 2K's highest grossing mobile game with more than 24 million downloads to date and Scopely Champions. With over 50 million installs, Champion saw its best quarterly performance in the game's history in Q4 2021. Gaming is a focus for WWE as roughly 85% of our audience self identifies as gamers, and gaming itself is one of the ways today's audience connects and socializes. We are even more optimistic as we look at YouTube and Netflix launching their own gaming initiatives. And as Nick mentioned earlier, Microsoft and Take-Two's acquisitions of Activision, Blizzard and Zynga, respectively. The next generation of fans and superstars is a huge priority for WWE. In December, as a part of our evolving talent development strategy, we launched our NIL or Name Image Likeness program, allowing the sponsorship of collegiate athletes, or what we call, next in line. The inaugural NIL class includes 16 athletes from 13 universities, 7 conferences and 4 sports. We are looking for elite athletes with big personalities, some of whom already have a strong branded presence on social media, like John Seaton, who played football for Elon University with a TikTok following of 1.6 million. Or the Cavander Twins, who play basketball at Fresno State and have a TikTok following of nearly 4 million. Never before has there been such a clear pipeline to becoming a WWE Superstar. Think about all the collegiate level athletes who won't make it to the NFL, NBA, WNBA or the Olympics. What other jobs are available to continue an athletic career if your sport is shop put or hammer throwing. Becoming a WWE Superstar is an opportunity to not only continue your athletic career but learning how to build your own brand. The first signee Olympic Gold Medalist and reigning NCAA National Champion Gable Steveson has already been drafted Raw roster when he has finished with his senior year at the University of Minnesota. WWE has a lot to offer these athletes today, amplifying their presence across all WWE platforms. According to third-party source YouGov, WWE has more total fans 18 to 34 than the NFL, NLB, NBA, UFC, NHL and NASCAR when you factor in our audience across all platforms. WWE's YouTube channel has 83.7 million subscribers, significantly more than all major U.S. sports franchises combined. The next biggest is the NBA at 17.4 million. At year-end, WWE's Facebook followers were also the highest among any sports league and had the highest engagement with year-over-year revenue increasing approximately 225% and hours watched more than doubling. On TikTok, we launched our first  account and within weeks, had over 500,000 followers. And we remained the #1 sports brand on TikTok with 15.1 million followers. Across all social platforms combined, we had 50 billion total views earning tens of millions of additional revenue. On our last call, I spoke about WWE's unique ability to break through the clutter for brands and partners and amplify that messaging through our strong reach across platforms. In Q4, at Survivor Series, this creativity was on full display for 2 brands. Pizza Hut trended during the night as the street profits made their entrance to the ring carrying a box of piping hot Pizza Hut pizza and a checker table class saying we got sponsored. During the match, the audience actually started to change. We want pizza, which is not something we can ever guarantee a partner, but a demonstration of how successful integrations can be when they are done with a fan mindset. This was complemented with another first-of-its-kind integration involving the presenting partner of Survivor Series, Netflix. Netflix returned to WWE to promote 1 of their biggest movies of the year, Red Notice, starting none other than WWE Hall of Famer, The Rock. A storyline loosely mirroring the films plot  involving our Chairman and CEO, who plays the character of Mr. McMahon. The content delivered 0.5 billion imprints and 20 million video views across platforms. These partnerships and more drove sales and sponsorship revenue up nearly 30% during the quarter. We look forward to continuing to strengthen and grow the WWE brand across all lines of business and drive value for our shareholders. And now I'll hand it over to our CFO, Frank Riddick.
Frank Riddick: Thank you, Stephanie. There are several key topics which we'd like to review today. These include discussion of our financial performance, the progress of key initiatives and our business outlook. In 2021, we generated record revenue of nearly $1.1 billion and record adjusted OIBDA of $327 million, which exceeded the high end of our guidance. Adjusted OIBDA increased 14%, primarily due to higher revenue and profit from the distribution network programming on Peacock. The contractual escalation of rights fees from our flagship shows Raw and SmackDown and the return of a ticketed audience to our live events. The growth in revenue and profit were partially offset by higher television and event-related production expense, which derived in part from the lower cost of producing televised content from a performance center in Orlando for much of the prior year. Additionally, adjusted OIBDA reflected higher staff-related costs, including management incentive compensation resulting from our improved operating performance in the year. Throughout the year, we continue to create additional content, producing more than 2,400 hours of content for television, network and digital platforms. We expanded our reach across new platforms such as Peacock, TikTok and Spotify and established new sponsor and product partners such as Blockchain Creative Labs and DraftKings. During the fourth quarter, we had strong performance across our business segments as we engage a wider audience with distribution on new digital platforms, including Peacock, and saw the continued return of fans at our live events. Revenue increased 30% to $310.3 million driven by the timing of our large-scale international event Crown Jewel as well as higher ticket and venue merchandise sales associated with the return to live venturing beginning in July. Adjusted OIBDA increased 90% and to $97.2 million as the impact of the growth in revenue was partially offset by the increase in management incentive compensation. To review our business performance in the quarter, let's turn to Page 3 of our presentation. which shows revenue, operating income and adjusted OIBDA contribution by segment as compared to the prior year quarter.  Looking at our Media segment, adjusted OIBDA increased 54% and is the contribution of our large-scale international event and the contractual escalation of right fees from the distribution of Raw and SmackDown were partially offset by a decrease in network revenue and an increase in management incentive comp. The decrease in network revenue was driven by the timing of revenue attributed to the delivery of WWE Network content Peacock in the quarter as compared to the recognition of subscription revenue in the prior year quarter. Although Peacock revenue was down from the prior year quarter, that decline was a function of the underlying accounting for revenue recognition related to our Peacock contract. Our Peacock contract generates favorable economics relative to the prior subscription model, notwithstanding some variability in the revenue recognition related to our premium live events. Importantly, since transitioning to Peacock, network viewership of our premium live events has increased 42% from the prior performance on what was our direct-to-consumer network service. Now let's turn to our Live Events business as shown on Page 5 of our presentation. Adjusted OIBDA from our Live Events improved $8.3 million based on a $19.4 million increase in revenue with the return to live inventory. As a reminder, we did not stage any live events for ticketed fans during the prior year fourth quarter. Since we returned to live event touring, we've experienced heightened demand for our live events. During the fourth quarter, our 48 events in North America attracted average attendance of 5,200 fans, which was down from the third quarter, but roughly on par with 2019. In our Consumer Products segment, adjusted OIBDA increased 42% or $3.8 million with the growth attributable to our franchise video game and higher sales of merchandise at our live event venues. Sales of merchandise on our e-commerce site, WWE Shop, declined in part due to a tough comparison to an elevated COVID-related sales in the prior year quarter. For our Consumer Products business, the year was highlighted by new partnerships, including those mentioned earlier as well as IGT to develop the WWE branded lottery games,  and . While developing these partnerships we continue to produce 1 of the top selling action figure toys and further develop the collectibles category with sales of bottle heads led by our partner, . Historically, video games have represented 1 of the most dominant product categories for WWE and look forward to the launch of a new franchise game with Take-Two Interactive on March 11 this year. . Now let's turn to WWE's overall cash generation, as shown on Slide 7 of the presentation. In 2021, we generated approximately $139 million in free cash flow as compared to $292 million in the prior year. Higher net income was more than offset by a decrease in noncash adjustments as well as the timing of collections associated with our large-scale international event and WWE Network revenues, and to a lesser extent, an increase in capital expenditure, the majority of which was related to the construction of our new headquarters. Notably, during the year, we returned $202 million of capital to our shareholders, including approximately $166 million in share repurchases and $36 million in dividends paid. To date, we've repurchased $249 million of stock, 4.6 million shares, representing approximately 50% of the authorization under our $500 million share repurchase program. As of December 31, 2021, WWE held approximately $416 million in cash and short-term investments. Debt totaled $223 million, including $201 million associated with the carrying value of our convertible notes. We have no amounts outstanding under our revolving line of credit and estimate related debt capacity of approximately $200 million. Looking ahead over the next years, we believe that WWE remains well positioned to take advantage of significant growth opportunities. These include increasing the production and monetization of content, leveraging our celebrity talent and world-class production capability to fuel new content and product offerings and capitalizing on our expanding global audience to support growth across all our business lines. We believe our long-term outlook is supported by the rising value of live sports content, increasing spend by streaming platforms on live and sports to retain and acquire customers, increasing brand spend with media companies that deliver reach and fan engagement and increasing premium for celebrities and hit content, fueling new IP monetization opportunities and the growth of media and entertainment in international markets. In 2022, we are projecting another year of record revenue, with growth driven by the full year impact of ticketed live events, staging of additional large-scale international events, escalation of rights fees for the company's flagship programs and monetization of new original series. Additionally, we're planning for a significant increase in WWE's operating expense base associated with a higher level of activity in the coming year. These expenses support the full year return of live event touring, expanded global production and the development of new content, they should contribute to higher revenue and profit in the near term and strengthen our fan engagement, increasing the value of our content and WWE's long-term growth potential. Accordingly, we have targeted an adjusted OIBDA range of $360 million to $375 million, an all-time record, which is up 10% to 15% from 2021 adjusted OIBDA of $327.1 million, as revenue growth is partially offset by the increase in production content-related and other expenses. We previously discussed our total projected capital expenditures to support our workplace strategy as well as maintain and enhance our infrastructure. In 2021, WWE had total capital expenditures of $39 million, which included approximately $17 million to build out our new headquarter facility, with the remainder primarily focused on strengthening our production and enterprise technology. For 2022, we estimate total capital expenditures of $280 million to $310 million, including construction spending of approximately $235 million to $255 million. As shown on Page 10 of our presentation, we estimate that total capital expenditures related to the new headquarters facility through 2023 will be approximately $270 million to $300 million. We expect the total project spend will be partially offset by tenant improvement allowances, tax credits and proceeds from the sale of other real estate assets. Total net cost of the company's new headquarters through completion that is net of these items is estimated within a range of $160 million to $180 million. This range includes expenditures of approximately $70 million for IT equipment and broadcast production technology that had been accelerated as part of the new headquarters project, but likely would have been spent in the absence of this project. Excluding these costs, yields a net incremental investment of $90 million to $110 million. I'd like to briefly summarize some of the significant benefits that support this investment, which are summarized on Page 11 of our presentation. The new headquarters will provide expanded world-class media production facilities and enhance our ability to deliver high-quality content globally. We will consolidate 4 current facilities and substantially all of our employees into 1 location, increasing collaboration and cooperation across our businesses. It will also provide an optimized workplace and technology to attract, retain and engage employees. Importantly, it will provide for future growth while creating operational efficiency. You should note that we expect total capital expenditures will return to approximately 4% to 5% of revenue once construction of our new headquarters has been completed. These expenditures will be at the low end of our historic range of approximately 4% to 7% of revenue and are predominantly to maintain or improve existing infrastructure. As we look to the first quarter of 2022, we estimate first quarter 2022 adjusted OIBDA of $90 million to $100 million, which represents an increase of 7% to 19% from the prior year quarter. The estimate reflects substantial revenue growth from the staging of a large-scale international event, for which the comparable event occurred in the fourth quarter of 2021 and the impact of WWE's continued return to live event touring. We also anticipate that the first quarter growth will be partially offset by the absence of onetime revenue recognition associated with the Peacock contract as well as an increase in operating expenses, including higher production and content-related costs, as well as other activity-based expenses. For the fourth quarter and full year 2021, WWE generated better-than-expected adjusted OIBDA results, reflecting robust demand for our events and increased consumption of programming across platforms. In 2022, key initiatives that could have a meaningful -- that could have meaningful implications for WWE's long-term growth and shareholder value creation, including the licensing of WWE Network and international markets, monetization of new original series, the licensing of Raw second window rights, further increases in sponsorship sales and the continued execution of our stadium strategy for our premium live events. We look forward to updating you on the progress on these initiatives in the coming year. This concludes our remarks, and I'll now turn it back to Seth.
Seth Zaslow: Thank you, Frank. Operator, we're ready for Q&A. Please open the lines for questions.
Operator: . And our first question will come from Curry Baker with Guggenheim. 
Curry Baker: Thanks for the question. So first one is probably for Frank or Nick. Your core content rights fees stepped up $12 million sequentially or 9.4% year-over-year. I know you have the U.S. rights that escalator kicks in the fourth quarter. Can you help us with any additional color there? Were there any renewals or onetime items to call out?
Frank Riddick: Not on the core content rights, no onetimes and we have -- the escalation is built into the contract that we signed a few years ago. So it will continue to step up.
Curry Baker: Okay. So 153 is kind of the new run rate with just the escalators kicking in. I just wanted to double check that. And then my second question is probably for Stephanie or Nick. On sponsorship, I know you've framed the overall opportunity is, I think, $100 million plus. It's an area that I think we all agree, you under or have historically under monetized on. Can you help us think about what you hope to achieve this year, maybe any benchmarks? And then what, if anything, is baked into the guidance for new sponsorship business?
Stephanie McMahon: Absolutely. I can take that, Curry and thank you for the question. To your point, there's no reason why we won't be in the hundreds of millions over the next few years. Any guidance is already baked into the 2022 projections. And we are unlocking new assets, transitioning the business model from contractual to transactional. We're leveraging our unique content opportunities to really engage audiences across all platforms, and utilizing our talent truly as influencers and building that brand around that IP.
Operator: Our next question come from Eric Handler with MKM Partners.
Eric Handler: One question for Nick and then one for Frank. Nick, I'm curious, it was interesting to see the Disney+ deal with -- in Indonesia for the licensee network. I'm curious as you think about Disney+ covering many countries internationally, you've got Discovery now with covering multiple countries with Eurosport and Discovery+. And obviously, there's many other multi-country players, why start with a 1 country deal? And are you looking more to sort of do more blanket type deals to license the WWE Network?
Nick Khan: Yes. We're looking region by region and part of the region-by-region approach is country by country as to what partner makes the most sense in that particular territory. So as I mentioned earlier, look for more countries to be announced in the not-too-distant future. But that APAC region, we thought Disney was particularly strong there in Indonesia. And again, even with the the Sky Showtime approval having come in a couple of days ago on those 2 entities working together in different territories around the world. Now you have really the U.S.-based companies expanding all at the same time, give or take. So we wanted to wait for that, and I think we're going to be in good shape in a couple of months.
Eric Handler: Great. And then, Frank, I don't -- you don't give revenue guidance, but I'm curious on the EBITDA growth that -- OIBDA growth you are projecting, will that come -- you be able to expand margins along with that growth?
Frank Riddick: Well, for next year, we think our margins at the adjusted OIBDA level will actually be down slightly. Part of that, as we mentioned in the speech was that we have the full cost of going back to the live touring and producing content, but we're also making investments in the business that we think will generate long-term returns. So slight degradation in margins for next year.
Operator: Our next question will come from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne: Great. I had two questions, sort of the longer-term one and more about sort of the near term on Peacock. So longer term, I want to get the team's view on opportunities around the metaverse and AR/VR. And I know it can get pretty pretty quick. But when I think about WWE for decades, you've extended the business and the brand into new markets, both physical and digital. And I could see a huge opportunity for WWE as we move into immersive digital environment. Is this an area you guys are focused on or excited about or investing in? Anything you would be looking for as you look at maybe even rights deals on this front as you look out over time? Maybe I'll just leave that one there, and I'll follow up after you guys take a shot at it if you have a view.
Stephanie McMahon : Ben, this is Steph. Thank you again for the question. And yes, we are absolutely exploring the metaverse as an opportunity for WWE, especially as the theory unfolds that that's really where more and more people are going to go to connect and socialize. WWE is a community-based business. It's all about our fans coming together to share this experience. We think there's huge opportunities to expand upon that in the metaverse itself. In terms of our approach, we're doing our due diligence, we're meeting with various different partners. We're learning as much as we can. We don't want to be hasty in this space. That being said, we certainly don't want to be behind. We always like to be slightly ahead of the curve. So it is something we are actively involved in and investigating and looking into.
Benjamin Swinburne: And then my follow-up is maybe a little less interesting, but I was wondering if you guys would help us think about the impact from the Peacock deal in '22 versus '21? Any comment maybe for Frank, on sort of revenues costs year-on-year. You mentioned the accounting has some volatility to it. I'm just wondering if there's anything could do to help us think about the year-over-year impact of Peacock as we move into year 2 in 2022?
Nick Khan: Sure. Well, in 2021, when we signed the deal, just given the nature of the contract terms as well as revenue recognition requirements under GAAP, we recognized a significant chunk of revenue upfront related to our IP that was licensed to Peacock. So in 2022, we won't have that. And in addition, the way that we recognize revenue is dependent on the timing and number of Premium Live Events so that can change how much revenue we recognize. But I think net of those items, we expect an increase in Peacock revenue in the year. So it's -- and we can talk a little bit more about this on a separate call if you like, to get into the details of the accounting, but that's the puts and takes. The contract also under the accounting has an escalation in it by design for the accounting. So that's a plus in 2022. So slightly up in 2022, notwithstanding the upfront in 2021. 
Operator: Our next question comes from Steven Cahall with Wells Fargo. 
Steven Cahall : Maybe just first, a couple of questions on the 2022 guidance. I'm wondering what type of media OpEx growth is implied in there. That's always a tough one to model. So any commentary on that? Second, sorry if I missed this, should we assume 2 large-scale international events. And then I think you mentioned the other content monetization is one of the drivers of OIBDA growth in fiscal '22. What can we read into that? And is that the international deals that are still to be signed? Or is that stuff that's already on contract so any future international digital rights would be a top that? 
Frank Riddick: So I don't think we're going to give any guidance specifically on media spend, although because it -- I would just say that it's large the increase in media is largely a function of the cost of going to full year touring and some of the bigger international events that we have in the plan for next year. And yes, we do have plan for at least 2 large international events next year. What was the third part of your question?
Steven Cahall : The other content monetization that I think you've talked about, is that digital rights still to be contracted? Or would a future digital rights deal be atop the current guidance? 
Frank Riddick: Well, the two things that were really referring to there, one are some of the new content we're creating for our new partners. Those are not announced yet, so we're not going to speak to that. In addition, we do have the Hulu deal that's up next year or early this year. So those would be the 2 items. We're not -- there's other opportunities internationally with respect to the network and other content deals internationally as well.
Nick Khan: Steven, just quickly on the international large-scale events, why just limited to 2. Let's see how it looks in the next couple of months. 
Operator: Our next question comes from David Karnovsky with JPMorgan.
David Karnovsky : Just one for Nick or Stephanie, can you discuss in more detail the next in line program? Just interested to know how this is kind of different or improved relative to the way you traditionally recruited talent from some of the regional or smaller promotions?
Stephanie McMahon : Absolutely, David. This is Steph again, and thank you for the question. It is absolutely an evolution of our process. The NIL program, I think, offers WWE more opportunity than any other brands who are partnering with these collegian as because it is such a recruiting tool. You have elite-level college athletes with big brands and personalities that otherwise wouldn't necessarily have a path forward. Think about how many people actually make it into the NFL or how many people actually make it into the NBA, et cetera. It's a very, very small pool and you're left with some incredibly talented athletes who really have no options to move forward with their athletic careers save for WWE. The NIL program now offers that pathway. We have a recruiting website tied to the NIL program and not only the athletes that we have under contract, but now all of the athletes who follow those athletes are going to be coming into the pipeline, and we have been seeing a number of college athletes signing up on our tryout site. 
Nick Khan: I'll also add in to that, David, just off the top of our heads, Big E, University of Iowa; Roman Reigns, Georgia Tech; Dwayne Johnson, University of Miami; Goldberg, University of Georgia. It's those folks just one step away from making it to the NFL who are amazing athletes, big personalities that we think can cross over. So why not get involved in their lives at an early stage. It made all the sense in the world for us. .
David Karnovsky: Okay. And then, Nick, this morning, your partner in the UK, BT Sports, they announced a new joint venture to pursue sports rights. Just wanted to get your early thoughts on how this potentially impacts that market and maybe the timing of negotiating network distribution in there? 
Nick Khan: Look, it's -- as we know, there's now more buyers in that region. So whether DAZN obviously did not acquire BT as we all read, and I'm sure we're all following. And now we'll see if the joint venture comes to fruition and what that looks like. BT has been an amazing partner to us, but WWE network there is still agnostic. So that's a territory where we're having deep conversations with a number of different parties. 
Operator: And our next question will come from Jason Bazinet with Citi.
Jason Bazinet : I just had a question on media rights in terms of how you guys think about the fair value of your content through the legacy linear world versus a direct-to-consumer world because they just -- I can imagine as you're thinking about content on the linear side, it has a certain set of variables, pay TV penetration, affiliate fees, viewership. But it seems like the calculus would be very, very different in a direct-to-consumer world and how you think about the value you deliver? Do you mind without talking numbers or specific partners, just walking through some of the compare and contrast the key variables?
Nick Khan: Absolutely, Jason. A couple of things. On the linear side, I think we've all collectively seen that scripted content is no longer necessarily working on broadcast television, certainly not in the way that it used to work. You're seeing the premium scripted creators shifting to streaming. Obviously, that started with Netflix years ago. So there's more openings in the broadcast linear space for live and unscripted content. At the same time, in basic cable, you're seeing live work there as effective as it's working in broadcast television. Scripted content there also struggling a little bit, which creates more open real estate. Again, your top scripted content creators have really moved to streaming. Then you look at streaming and you look at even the deals that I had mentioned earlier in the call, all of those are almost exclusively in the streaming space. So we all know from a few years ago that it was going to be the streaming wars and that there would be a lot of beneficiaries from that. We'd like to think that we're one of those with our Peacock deal that, that will grow. At the same time, broadcast and basic cable has been good to us. And people are still tuning in, again, other than scripted content in meaningful ways. So we think we have the triple play there.
Jason Bazinet: Is it fair to say that it's more about your ability to deliver net adds or a partner? Is that what ultimately is the key driver?
Nick Khan: I think advertiser-friendly content certainly helps on broadcast network. It definitely helps on basic cable. If you look at where some of the new models are going with ad-supported tiers, you need content that can obviously be sold to advertisers. So we think our Peacock deal, which we're thrilled with, we think we've outperformed on that platform in a short period of time, over 9 to 10 months. So subscription side, we think we deliver. Free to air site, we think we deliver with advertising-friendly content. Basic cable, we like to think we deliver as well.
Operator: And we'll go to Brandon Ross with LightShed Partners.
Brandon Ross: Okay. So I had to drop out for a minute. Not sure if any of these questions were asked. But first, I was wondering if you gave an update on how you're feeling and how things are progressing with the Raw second window renewal?
Nick Khan: We did not -- we were not asked that question, happy to answer it here. We feel as good about that as we did our Raw and SmackDown deals a few years ago and as we did our WWE network deal with Peacock.
Brandon Ross : Great. And then, Nick, in your introductory remarks, you opined on consolidation across . I know that you're strategic when you write the scripts. So I was wondering if you were trying to message something there? Or really, how do you see WWE as a possible strategic piece in this M&A wave we're in? And I have 1 more.
Nick Khan: Thanks for the kind words. I don't know how strategic it is or how organic it is. What the message we're trying to convey subtly or overtly is it appears to us that every platform, every business wants to be in business in a material way with people who can create content, which we've been doing here, as you know, for 35 years plus. So we think there's even more buyers now, as we all know, than there were 3 years ago. We think in 2 years from now, there's going to be there are more buyers than there are now. So that was what was reflected in those comments.
Brandon Ross : Got you. And then finally, in your introductory remarks, you also talked about the importance of the extra engagement that you've been able to build through Peacock versus when you own the WWE network. And your last on SmackDown deal you did with Fox and one of the reasons was because it provided you with the widest possible distribution. And as you look towards your renewals for Raw and SmackDown coming up in a couple of years, do you think that broadcast is still going to be the right avenue to pursue or with all of the eyeballs that are shifting to streaming, do you think that a streamer might be the way to go?
Nick Khan : A couple of things. Number one, we're extremely pleased with our partnership with Fox, and obviously, we believe in what they're doing. If just off the top of our head, if you look at where the playoffs and finals of the sports live, and keep in mind, our playoffs and finals are Premium Live Events are living on Peacock; our regular season, if you will, on Fox and USA; Super Bowl upcoming in a , NBC, NBA Finals in June; ABC, the final four match up, a combination of Turner and CBS. So we still think that you're seeing big event programming there. We won't dismiss or discount those buyers as to where the future is going. We think they're real. We also realize the world that we're all living in where premium dollars are being paid for premium content certainly not only on TikTok, but on all of the other streamers, as we know, when Vince Stephan Company launched WWE Network in 2014, they really just had to be the second best after Netflix to be the second best in the world. And if you want a slight in there, the third best in the world. Now as you know, it's a cluttered marketplace. So it made all the sense of the world to partner up with PBOC on that one, and we'll see where we are on the next rights deal.
Brandon Ross : And your Super Bowl is on Peacock, right?
Nick Khan: Yes, sir. WrestleMania, coming this year or are you not attending?
Brandon Ross : I hope to be there, to be there. 
Seth Zaslow: Operator, we have time for one last question, please. 
Operator: And that question will come from David Joyce with Barclays.
David Joyce : A couple of questions, please. First, on the international event that you held back in October. Was there anything different about the economics there compared to your typical events that you've been holding in that region, historically? And then secondly, on Peacock, are you generating any revenue and EBITDA from any outperformance metrics maybe that you have contractually agreed to with Peacock?
Nick Khan: So on the international the economics are very similar to the other events, international invest we held -- and now the Peacock deal is a contractual deal with fixed amount of revenue. There's no escalation. There is the ability to earn more sponsorship money but not based on viewership. 
Seth Zaslow: All right. Well, thank you, everyone. We appreciate you listening to the call today. If you have any follow-up questions, please don't hesitate to contact me. Operator, you can conclude the call now.
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. Have an excellent day.